Operator: Good day. And welcome to the Designer Brands Inc. Third Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. To ask a question, you may press star then one on a touch-tone phone. To withdraw your question, please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Ashley Furlan. Investor Relations. Please go ahead.
Ashley Furlan: Good morning. Earlier today, the company issued a press release comparing results of operations for the thirteen-week period ended November 1, 2025, to the thirteen-week period ended November 2, 2024. Please note that the financial results that we will be referencing during the remainder of today's call exclude certain adjustments recorded under GAAP unless specified otherwise. For a complete reconciliation of GAAP to adjusted earnings, please reference our press release. Additionally, please note that remarks made about the future expectations, plans, and prospects of the company constitute forward-looking statements. Results may differ materially due to the various factors listed in today's press release and the company's public filings with the SEC. Except as may be required by applicable law, the company assumes no obligation to update any forward-looking statements. Joining us today are Doug Howe, Chief Executive Officer, Mark Haley, SVP, Controller, Principal Accounting Officer, and Interim Principal Financial Officer, as well as Matt Crummey, our SVP of Strategy overseeing FP&A and Investor Relations. Now let me turn the call over to Doug.
Doug Howe: Good morning, and thank you, everyone, for joining us today. We're looking forward to discussing our third-quarter results with you. I'd like to begin my prepared remarks by saying how encouraged I am to be posting another quarter of sequential improvement, made possible by the hard work, resilience, and commitment of our Designer Brands team. Joining me on the call today is Mark Haley, Senior Vice President Controller, and Principal Accounting Officer who has also assumed the role of Interim Principal Financial Officer. I'd also like to introduce Matt Crummey, our Senior Vice President of Strategy who is now leading FP&A and Investor Relations. As we continue the search for our next CFO, I am confident that Mark and Matt's deep knowledge of our business and strategy will ensure a seamless transition as we execute against our transformation. Building on the improvement from Q2, the third quarter represented another step forward with continued progress across key metrics. We delivered on our strategic priorities throughout the quarter, and I'm pleased to share that this positive momentum has carried through the early part of the fourth quarter. I believe we are positioned well as we close out the year. Our results are an encouraging indicator that we are effectively communicating our value proposition amidst the ongoing uncertainty in the external environment. In Q3, we delivered another quarter of sequential improvement, supported by healthier traffic, higher store conversion, and disciplined expense and inventory management. Our total sales for the quarter were down 3% year over year, with comparable sales down 2.4%. A 260 basis point sequential improvement from second-quarter comparable sales reflecting strengthening consumer demand and improved in-store execution. In addition to driving improved top-line trends, we continue to diligently manage markdowns and operating expenses. As a result, gross profit dollars exceeded last year by $5.8 million, a 210 basis point improvement highlighted by a 100 basis point increase in merchandise margin. We also posted adjusted operating income of $46.5 million for the quarter, which exceeded last year by nearly $3 million despite the prior year period, including a $9 million benefit from the timing of an incentive accrual reversal. As a result, for the quarter, we delivered adjusted EPS of $0.38, up notably from $0.27 last year. Our performance in Q3 drove strong cash flow generation and allowed us to pay down $47 million of debt in the quarter. We will continue to fortify our balance sheet moving forward. With that said, now let's review some highlights from each segment in the third quarter. Starting with our retail businesses. For the third quarter, the U.S. Retail comparable sales decreased 1.5%, with total sales down 1% year over year. An increase from the second quarter when both comps and total sales were down roughly 5%. This continued sequential improvement reflects strong execution driven by improved in-stock levels as well as rising demand across key categories. On recent calls, I've emphasized the importance of our DSW stores' performance, and am pleased with the positive momentum we saw from that channel in Q3. Our Let Us Surprise You brand campaign has performed well, driving strong awareness, generating 2 billion earned media impressions as of October. We are continuing to optimize our marketing and media mix as we move forward with this refreshed platform and imagery. In addition, we're seeing encouraging trends across multiple product categories, indicating that enhancements we are delivering in our broad balanced assortment are resonating with a wide range of consumers. Our top eight brands continue to outperform the balance of the assortment, posting a positive 4% comp for the quarter. Penetration of these brands expanded by 200 basis points year over year to 42% of total sales, underscoring the strength and relevance of our most strategic brand partners. We're also encouraged by the strong performance of our key focus areas within the fashion business. Boots have generated a strong start to the season, delivering an 8% increase in regular price product sales in the quarter, with our inventory well-positioned to capitalize on this trend as the business peaks. Our assortment is clearly resonating. We've seen brown being the hot color this season with high-quality, tall chef boots trending. In fact, according to Surcana, DSW outpaced POS by six points in boot sales for Q3, driven by women's, which were up 2% to the prior year. In our affordable luxury offering, while currently a modest portion of sales, underscoring the opportunity to expand, achieved impressive year-over-year growth in Q3 and regained market share in this segment. Lastly, our athletic category performance continued to improve, delivering a 1% comp in adult athletic, a 300 basis point increase from last quarter, and an 8% comp in kids' athletic, an 800 basis point increase from last quarter, highlighted by the strong back-to-school performance. We believe these positive trends broadly across our business are evidence that our curated and differentiated assortment is an area of strength and a key differentiator we will continue to amplify. Turning to U.S. retail profitability. We saw strong regular price selling throughout the quarter. As a result, markdown rates improved by 140 basis points. All the above plus a strategic pullback on unprofitable digital promotions led to an improvement in adjusted operating income for the U.S. Retail segment of $5.7 million compared to Q3 last year. Our adjusted operating income flow-through improved by 100 basis points. Turning to our Canadian business. Total sales for the quarter were down 8% with comp sales down 6.6%, largely due to unseasonably warm weather that softened demand for seasonal products. While macro pressures remain, our teams are managing the business with agility and discipline. We remain focused on items in our control and delivering value to the customer. Encouragingly, performance in Q4 is rebounding as weather has normalized over the past several weeks. Now to our brand portfolio segment. Total sales for the quarter were down 9%, driven by a decline in our external wholesale business due to temporary sourcing-related delivery delays, which we expect to recover in Q4. Operating income for the quarter increased by $0.5 million year over year despite a lower top line, a result driven by our disciplined expense management and tariff mitigation efforts. We continue to be excited by the growth of the Topo business, which delivered 25% growth over Q3 last year and has more than doubled on a two-year basis. Additionally, Jessica Simpson delivered another strong quarter, with external wholesale sales increasing roughly 8%, a continuation of last quarter's growth. Let's turn to our key priorities for the near term. As a reminder, we remain focused on the two pillars of customer and product within our retail businesses. Within brands, we are working to drive growth by scaling private label, building a more profitable wholesale model, and investing in strategic growth brands. Our customer remains at the center of everything we do, and we remain focused on delivering an expansive assortment of relevant products to exceed expectations across footwear categories. Building on the successful launch of our brand repositioning earlier this year, we're moving into Q4 with a holiday-centric execution of our Let Us Surprise You campaign, a natural opportunity to amplify DSW as a gifting destination. Our campaign features traffic-driving activations and exciting ways for our customers to engage with the brand while emphasizing style, quality, and value. We've been encouraged that the momentum we generated in Q3 has carried into the fourth quarter, and we're optimistic that the trends will carry forward through the balance of the season. Shifting to our product pillar, we remain focused on elevating and refining our assortment while continuing to improve inventory productivity and availability across channels. Sound execution of our inventory management strategies fueled margin expansion and higher in-store conversion rates in Q3 compared to last year. These efforts have placed us in a strong position heading into the holiday season. We continue to diligently refine our assortment, ending the quarter with approximately 30% lower choice counts compared to last year. At the same time, we have maintained a sharp focus on key item in-stock levels, which are up 460 basis points year over year to nearly 80%. This enhanced availability allows us to capture demand in our highest-performing categories while maintaining a leaner, more productive assortment. We also continued to drive efficiency in our digital fulfillment operations. Compared to last year, we fulfilled 15% more of our digital demand directly through our logistics center, enhancing operational efficiency and customer satisfaction. This approach enhances the in-store experience that defines the DSW brand by providing better product availability for in-store consumers, which is contributing to increasing in-store conversion. As noted on our last call, we recently unveiled our reimagined DSW store in Framingham, Massachusetts, which showcases immersive experience-driven elements that fully embody our Let It Surprise You brand positioning. The store was designed to drive retail differentiation through discovery, personalization, and technology-enhanced engagement. Building on the success, we are rolling out this elevated experience to two additional stores, Union Square in New York City, and Easton in Columbus, Ohio, and more importantly, evaluating which innovation pilots can be scaled across the broader fleet. These efforts further reflect our commitment to evolving the DSW brand, deepening customer loyalty, and leveraging our stores as a true point of differentiation in the marketplace. Turning to our brand segment. Our sourcing team continues to do an exceptional job navigating a dynamic global environment, mitigating the impact of tariffs while advancing our strategy to further diversify our supply chain. We remain focused on expanding sourcing capabilities across multiple regions to reduce risk related to overreliance on any single country and strengthen our supply chain resilience. As the tariff landscape remains uncertain, our disciplined approach to diversification helps us to maintain flexibility while supporting supply continuity and protecting margins. Turning to our brands themselves. Topo remains a standout performer, with continued expansion in door count and shelf space along with strong direct-to-consumer growth and product innovation. Other brands, including Keds and Jessica Simpson, also continued to make steady progress, supported by improved storytelling, design focus, and channel discipline. We are advancing efforts to scale our private label business and maintain a balanced wholesale strategy and look forward to sharing more about these initiatives in the near future. Before I conclude, I want to share a few thoughts on the remainder of 2025. The momentum established in the third quarter has continued into the fourth quarter, underscoring the effectiveness of our strategic actions. Mark will share more about our guidance for the full year in a moment. But as we move into the holiday season, I'm proud of the progress we've made in advancing our strategy and encouraged by the consecutive quarters of sequential improvement. While there is still a lot of uncertainty in the external environment, we remain optimistic about our ability to close out the year on a strong note. I continue to be inspired by the dedication and determination of our teams across the organization. Their focus on execution, willingness to adapt, and commitment to our strategy have been instrumental in driving our progress this quarter. With this foundation, I'm confident we are well-equipped to capture the opportunities ahead and build sustainable momentum for the long term. With that, I'll turn it over to Mark.
Mark Haley: Thank you, Doug, and good morning, everyone. I'm excited to share our third-quarter results, which were marked by another strong step forward in our transformation, building on the progress we made in the second quarter. We executed well against our strategic priorities and continue to see meaningful improvement across key metrics. Let me provide a bit more detail on our fiscal 2025 third-quarter results. We were pleased to see another quarter of continued sequential improvement with comps down 2.4% and net sales of $752.4 million, a decline of 3.2% year over year. In our U.S. Retail segment, sales declined 0.8% year over year with comp sales down 1.5%. Both metrics reflect another quarter of sequential improvements from Q2, demonstrating the continued increase in customer engagement, strength of our product assortment, and improving sales productivity in our U.S. Retail segment. In our Canada retail segment, sales declined 7.5% in the third quarter compared to last year with comps down 6.6%. As Doug mentioned, this decline was mainly due to warmer weather stifling demand for seasonal products. We have seen this trend beginning to reverse in the fourth quarter. Finally, in our Brand Portfolio segment, total sales were down 8.6% to last year, largely driven by a shift in sales from external wholesale activity from the third quarter to the fourth quarter due to shipment timing. As a result, we expect higher sales year over year from external wholesale in the fourth quarter. Consolidated gross margin was 45.1% in the third quarter, a 210 basis point improvement versus the prior year driven by strategically fewer markdowns in the U.S. Retail segment and an increase in fulfillment of orders through our East Coast logistics center. This resulted in gross margin dollars increasing $5.8 million year over year despite lower sales. For the third quarter, adjusted operating expenses were up $2.5 million compared to last year, representing 39.4% of sales. This reflects deleverage of 160 basis points over last year on lower sales. It's important to note that last year's third quarter benefited from the timing of a $9 million reversal of a bonus accrual. Amid ongoing macro volatility and the associated impact on consumer demand, we've maintained a strong disciplined approach to managing operating expenses, inventory, and capital investments. We now expect total expense savings to reach nearly $30 million for fiscal 2025 compared to 2024. For the third quarter, adjusted operating income was $46.5 million compared to $43.6 million last year. We are encouraged by the year-over-year improvement in operating income driven by disciplined execution by our teams across the business. In 2025, we had $11.4 million of net interest expense compared to $11.6 million last year. Our effective tax rate in the third quarter on our adjusted results was 44% compared to 55% last year. Our third-quarter adjusted net was $19.6 million versus $14.5 million in the prior year. Adjusted diluted earnings per share was $0.38, which was notably above last year's earnings per share of $0.27. Turning to our inventory. We ended the third quarter with total inventories down 2.7% to last year. For year-end, we are continuing to strategically manage inventory levels to align with underlying sales trends. This disciplined approach positions us to respond quickly to demand and should allow us to close the year with a healthy inventory position. During the quarter, we utilized excess cash to further strengthen our balance sheet, paying down debt and ending the quarter with total debt outstanding of $469.8 million. We will continue to reduce debt as we move towards the end of the year. We ended the third quarter with $51.4 million in cash. Our total liquidity as of the end of the third quarter, which includes cash and availability under our ABL revolver, was $218.3 million, providing us with solid financial flexibility as we close out the year. As Doug noted, we have seen our Q3 momentum carry into Q4, and we believe we have enough visibility to share our expectations for the fiscal year. At this point, we expect total net sales for the year to be down in the range of 3% to 5% with adjusted operating income in the range of $50 million to $55 million. Our forecasts are contemplating tax expense for the year in the range of $8 to $10 million. To conclude, I'm pleased with the progress we achieved in the third quarter, delivering a year-over-year improvement in operating income, expanding gross margin, and strengthening our balance sheet. As we close out the year, our improved profitability and solid liquidity position give us confidence in our ability to advance our strategic priorities. With that, we will open the call for questions. Operator?
Operator: We will now begin the question and answer session. To ask a question, you may press star then 1 on your touch-tone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. The first question today comes from Mauricio Serna with UBS. Please go ahead.
Mauricio Serna: First, on the commentary about the momentum continuing into the fourth quarter, could you elaborate a little bit more about what your trends are quarter to date? And if I just look at, you know, the guidance for the full year, I think the implied guide for Q4 is roughly minus 5% to up almost 4%. Could you maybe explain, like, a little bit more why you have, like, this wide range for the Q4 sales guidance? Thank you.
Doug Howe: Mauricio, this is Doug Howe. Thanks for your question. Yeah. We are encouraged, obviously, as we said in our prepared remarks with regards to the sequential improvement we saw in Q3. And October was actually the strongest month of that period. And that momentum has continued into Q4. I don't want to get into a lot of specifics in the current quarter, but the key categories, the key brands, the classifications that were giving momentum in Q3 have continued, namely the top eight brands, continue to outperform. The boot category, in particular, as I mentioned, was off to a very strong start. Specifically as it relates to regular price selling in Q3. That has definitely continued. The teams have done an amazing job to be able to react to that trend as well. The affordable luxury business, while small in overall volume, is almost double what it was last year. So we're seeing some really nice momentum there as well. And all of that is based into the guidance that we provided for the full year. There's a little bit of noise if you think about the difference between the retail sales and brands. As I mentioned, brands had a bit of a decrease in Q3 based on some temporary timing shifts of delivery. But that will be rebounding, and we're forecasting positive sales there. So that creates a little bit of noise in the Q4 results for total net retail sales.
Mauricio Serna: Got it. In terms of, like, gross margin, you know, nice to see the progress. How are you thinking about the gross margin in Q4 and maybe just any high-level commentary of what you're seeing in terms of the promotional environment? Thank you.
Doug Howe: Yeah. Thanks for the question. We're continuing to be encouraged by how the teams have managed gross margins, specifically at DSW. As I mentioned, in Q3, we had a 140 basis point improvement in markdown rate. And we see similar favorability in Q4. We're anticipating that as well. The gross margin in Q4, you know, there is a promo environment. But we're not seeing a lot of resistance from our customers as it relates to higher prices. Our ARR was up nicely. Some of the categories that are strongest performing are the higher AUR categories as well. We, as I said, have been mindful of walking away from some unprofitable digital promotions. And we'll continue to do that, seeing a little bit of pressure on digital top line, but significant expansion in operating income in that channel.
Mauricio Serna: Great. Thanks a lot, and good luck in the holiday season. Thanks, Doug.
Operator: As a reminder, if you would like to ask a question, please press star then 1. This concludes our question and answer session. I would like to turn the conference back over for any closing remarks.
Doug Howe: Thank you all for joining us today and for your continued support. It's clear that we are encouraged by the sequential improvement that we delivered in Q3 and that we remain confident in our strategy, our team, and the opportunities ahead to build sustainable momentum for the long term. We're focused on execution and a willingness to adapt in order to best serve our customers and drive value for our shareholders. We appreciate your time today, and we look forward to updating you next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.